Operator: Good morning, and welcome to the Solo Brands Fourth Quarter and Fiscal Year 2024 Financial Results Conference Call. [Operator Instructions] Please note, this event is being recorded. I would now like to turn the conference over to Mark Anderson, Senior Director, Treasury and Investor Relations. Please go ahead.
Mark Anderson: Thank you, and good morning, everyone. We appreciate you joining us for the Solo Brands conference call to review fourth quarter and full year results for 2024. Joining me on the call today are the company's Interim President and Chief Executive Officer, John Larson; and Chief Financial Officer, Laura Coffey. This call is being webcast and can be accessed through the Investors portion of our website at investors@solobrands.com. Today's conference call will be recorded. Please be advised that any time-sensitive information may no longer be accurate as of any replay or transcript reading date. I would also like to remind you that the statements in today's discussion that are not historical facts, including statements about expectations, future events, financial performance, turnaround efforts, strategic transformation goals and future growth are forward-looking statements and are made pursuant to the safe harbor provisions of the Private Securities Litigation Reform Act of 1995. Forward-looking statements, by their nature, are uncertain and outside of the company's control. Actual results may differ materially from those expressed or implied. Please refer to today's earnings press release for our disclosures on forward-looking statements. These factors and other risks and uncertainties are described in detail in the company's filings with the Securities and Exchange Commission. Solo Brands assumes no obligation to publicly update or revise any forward-looking statements. Management will refer to non-GAAP measures and reconciliations to the nearest GAAP measures can be found at the end of our earnings release. Finally, the earnings release has been furnished to the SEC on Form 8-K. Now I'd like to turn the call over to John Larson.
John Larson: Good morning, and thank you all for joining us to review Solo Brands strategic plan and financial results. During today's call, we intend to level set everyone on recent news, review our 2024 financial results and share our turnaround work for 2025. During the fourth quarter, the Board and management team engaged in developing an aggressive turnaround plan for 2025. As part of our transformation plan, we hired external financial advisers to help us go through every line item of the business. They have been an integral part of helping to develop and quantify 30-plus value-accretive initiatives. As most of you know, Chris Metz notified the Board in mid-February of his decision to resign. Given that the Board and management team were closely involved in the 2025 turnaround plan, we felt it was critical not to lose momentum. I was immediately appointed as Interim CEO and in the office the following Monday morning. Since stepping into the role, I along with the leadership team and Board, have taken actions to accelerate and amplify the company's transformation plan. I plan to continue serving on the Board and remain interim leader on site until the right person to lead Solo Brands is identified. I firmly believe that we lost no time or momentum with the management change. We are now aggressively working through 30-plus value-accretive initiatives to return Solo Brands to profitable and sustainable growth. Notwithstanding challenging results, we believe Solo Brands has a solid foundation for success, including great enthusiast brands, a pipeline of new products and highly loyal customers. I am encouraged by what I see here. Our Board and management team are fully aligned and taking thoughtful steps to improve the near-term and long-term business trajectory. We do not plan to take questions after our prepared remarks. This decision was not taken lightly, but I hope that Laura and I answer most, if not all, of your immediate questions during these prepared remarks. After Laura walks through the financial results, I will come back to discuss in more detail the key strategic initiatives. Laura?
Laura Coffey: Thank you, John, and good morning, everyone. We finished 2024 with total net sales of $455 million, down 8% from the prior year. We strengthened our adjusted gross profit margin to 61.7% and we ended the year with an adjusted EBITDA of $32.6 million or 7.2% of net sales. We recognize the challenges ahead and we are committed to transforming our business by stabilizing operations, optimizing efficiencies and building scalable processes and platforms to drive sustainable growth. Turning to our fourth quarter results. Net sales were $143.5 million, down 13.2% from a year ago. This was driven by declines in retail and direct-to-consumer channels within the Solo Stove segment, partially offset by increased net sales in the Chubbies segment. We are carefully evaluating the effectiveness and return of our marketing spend. Although the Snoop ads created good brand awareness last year, we are working to better position spend to be more efficient and tied to the outcomes that align closer to our goals. Our gross profit for the quarter was $87.8 million compared to $96.4 million in the prior year. Our reported gross profit margin grew to 61.1%, up 280 basis points compared to 58.3% in the year ago quarter. Selling, general and administrative expenses were $81.8 million in the quarter, down from $84.3 million in the prior year. The improvement in SG&A expenses were mainly due to the early termination of a legacy advertising agreement. The fourth quarter's net loss was $58.2 million and adjusted net income, excluding after-tax restructuring charges and other non-recurring or non-cash charges resulted in positive earnings of $2.3 million and adjusted EPS of $0.03 per share. Adjusted EBITDA for the quarter was $6.3 million with a margin of 4.4%. Turning to the full year results. 2024 net sales were $454.6 million, down 8.1% from the prior year. Our reported gross profit margin for the year was 57.3%. And excluding inventory charges related to restructuring and consolidation and other non-cash items, our adjusted gross profit margin was 61.7%, up 30 basis points from the prior year. The company reported a GAAP net loss of $180.2 million, an improvement versus a net loss of $195.3 million in 2023. Adjusted net income was $11.4 million or EPS of $0.12 and our adjusted EBITDA was $32.6 million or 7.2% of net sales for the full year in 2024. Please refer to our earnings release for reconciliation tables to the most comparable GAAP measures. In early 2025, we continued implementing corporate restructuring and cost optimization initiatives to rebaseline expenses and rightsize the business based on expected sales this year. We have examined the company's marketing effectiveness and have a multi-step plan to improve efficiencies and address spend, which John will discuss in a few moments. We have begun creating better performance management metrics and are evaluating talent at every level. I want to give you a few examples of actions that we have taken thus far after careful consideration. We consolidated two distribution centers and are looking to sub-lease those facilities. We believe this is necessary to maintain operating leverage across our fulfillment network. We are continuing to evaluate and make strategic decisions to lower costs and respond to business needs. We successfully renegotiated freight contracts for the organization in mid-2024 and are currently exploring other opportunities to reduce our spend in this area. After the holiday period, we decided to take an action on a reduction in force primarily to streamline our Solo Stove segment marketing and operational functions. We also rationalized certain operations, reduced overhead costs and rebaseline costs to better align with the sales going forward. We have decided to pause our financial guidance based on the challenging and uneven consumer environment anticipated this year and uncertainty with tariffs. However, we are targeting improving profitability compared to a year ago, especially as we expect our major initiatives to ramp up in the second half of the year. Regarding tariffs, we are actively addressing the impact on our business. In some instances, we have proactively shifted production to alternative countries to avoid China-specific impacts, while exploring mitigation tactics to even further reduce tariff headwinds. Although there continues to be uncertainty regarding the operation and duration of tariffs, we are currently estimating the impact to be significant to our operations before planned mitigation activities. Turning to the company's balance sheet and cash flow position. We ended the quarter with $12 million in cash and cash equivalents. We continued to manage working capital closely and we ended the quarter with inventories of $108.6 million, down from a year ago and up $1.8 million from September 30. The company's cash provided by operating activities was $10.5 million for the year and the full year capital expenditures were $14.5 million. We are working to maintain a disciplined and conservative capital allocation strategy, which includes careful cash management, and we have no M&A planned for 2025. Investing in product innovation is essential, but we will be judicious with our cash. As of September 31, 2024, revolver borrowings were $69 million, the term loan outstanding was $83 million and our borrowing capacity on the revolver was $350 million. As of December 31, we were in compliance with all financial and operational covenants. Subsequent to the end of the year, we drew down $277.3 million on the revolver, which matures next year on May 12, 2026. More information will be available on our 10-K filed this morning, but due to uncertainty in the business and our expected level of indebtedness, without the application of successful mitigating strategies, we expect to experience difficulty remaining in compliance with the financial covenants in our credit agreement. Today's 10-K also includes disclosures about the company's ability to continue as a going concern. We are evaluating strategies to refinance our existing debt and our plans are focused on improving our results and liquidity as we are discussing today. With that, I would like to turn it back to John.
John Larson: Thank you, Laura. As I mentioned in the opening, I am laser-focused on accelerating and amplifying the restructuring plan that was already underway and ensuring the company maintains the momentum of these critical initiatives. My focus is 100% on optimizing the bottom-line and preserving cash. We have implemented search teams to focus on the key areas of opportunity. Our most critical initiatives for our strategic turnaround plan include; number one, resetting the organization's cost structure in line with our sales and profit profile. We are working closely with our financial advisers to walk through every line item on our income statement and balance sheet and have developed an extensive list of initiatives to drive bottom-line results starting this year. Two, focusing on profitability by channel, by product for each division to drive the business to where we believe we can provide stronger margins. Three, resetting our marketing approach, our single biggest line item of expenditure. As you may know, Liz Vanzura recently joined Solo Brands Board and has now agreed to serve as the company's Interim CMO. Liz is a former colleague and highly awarded marketing rockstar. She has a successful track record as CMO and Head of Brand Strategy for companies like Cadillac and HUMMER and has worked at agencies for many years. She also earned the Ad Age's Marketer of the Year Award and was inducted into the AAF Advertising Hall of Achievement. We are excited to leverage her strategic ability to lead our marketing efforts, identify the appropriate partners and leading-edge AI tools with the potential to increase efficiency dramatically and reignite our brands. number four, executing a complete review of our product line-up, simplifying our current product offerings and strategically repricing our portfolio of offerings. We believe there are significant pricing opportunities to provide clarity for our consumers and to achieve stronger margins. We are fortunate to have a cohesive collection of premium brands with deep customer following and we expect that being less promotional will help avoid channel conflicts between our direct-to-consumer and retail outlets. Number five, accelerating and amplifying new product launches to drive further momentum in the latter half of the year and identifying new product opportunities. Our team of entrepreneurs already has an innovative mindset and we know that Solo Stove and Chubbies are exceptionally positioned with strong brand recognition and loyal customers to these brands. Recall that we consolidated ISLE paddle boards and Oru Kayaks into a new water sports division to create a more profitable, scalable platform. We are actively working on a product roadmap for outdoor lifestyle spaces designed to positively impact people's lives as they enjoy leisure time outdoors. Finally, we are creating a metric-focused culture and reporting system to track performance in real time. We believe that tying key performance indicators to our actions and providing simple dashboard reporting will allow our culture to align, engage and succeed. Also, developing repeatable processes that enhance operational efficiency and consistency is critical. We plan to track our wins, collect feedback and analyze failures and successes. Our strategic transformation plan initiatives are tracked and reviewed weekly and we expect that our quarterly financial results will be the measure of our accomplishments. Regarding tariffs, as we are seeing in similar industries, we now have the impact of tariff uncertainties. As Laura mentioned, we are proactively managing this dynamic situation with a broad range of mitigation plans. To summarize, the company is resetting the organization's cost structure, identifying the key performance drivers in our portfolio, revamping our marketing approach, overhauling our pricing and promotion strategies, accelerating and amplifying our new product launches and creating a metric-based culture to track performance in real time. Bottom-line, we have great brands and products with best-in-class reviews. We have the foundation. We are resetting our business approach to deliver improved results. And as we execute our value-accretive initiatives this year, we expect the performance upside will be more visible in the back half of the year. Thank you for your continued interest in the company. We look forward to providing updates when we report first quarter results in May. Have a great day.
Operator: The conference has now concluded. Thank you for attending today's presentation. You may now disconnect.
Q - :